Operator: Good morning. My name is Bonnie, and I will be your conference operator today. At this time, I would like to welcome everyone to the Hershey Company's Fourth Quarter 2013 Results Conference Call. [Operator Instructions] I would now like to turn the conference over to Mr. Mark Pogharian. You may begin, sir.
Mark K. Pogharian: Thank you, Bonnie. Good morning, ladies and gentlemen. Welcome to the Hershey Company's fourth quarter 2013 conference call. J.P. Bilbrey, President and CEO; Dave Tacka, Senior Vice President and CFO; and I, will represent Hershey on this morning's call. We welcome those of you who's listening via the webcast. Let me remind everyone listening that today's conference call may contain statements which are forward looking. These statements are based on current expectations, which are subject to risk and uncertainty. Actual results may vary materially from those contained in the forward-looking statements because of factors such as those listed in this morning's press release and in our 10-K for 2012 filed with the SEC. If you have not seen the press release, a copy is posted on our corporate website in the Investor Relations section. Included in the press release is a consolidated balance sheet and a summary of consolidated statements of income prepared in accordance with GAAP. Within the Notes section of the press release, we have provided adjusted or pro forma reconciliations of select income statement line items quantitatively reconciled to GAAP. The company uses these non-GAAP measures as key metrics for evaluating performance internally. These non-GAAP measures are not intended to replace the presentation of financial results in accordance with GAAP. Rather, the company believes the presentation of earnings, excluding certain items, provides additional information to investors to facilitate the comparison of past and present operations. As a result, we will discuss 2013 fourth quarter results, excluding net pretax charges of $10.9 million or $0.04 per share diluted, related to costs associated with the project Next Century, non-service-related pension expense, and acquisition and integration costs. Our discussion of any future projections will also exclude the impact of these net charges. With that out of the way, let me now turn the call over to J.P. Bilbrey.
John P. Bilbrey: Thanks, Mark, and good morning to everyone on the phone and webcast. I'm very pleased with Hershey's fourth quarter and full year financial and marketplace results, which represent a solid end to another good year. Net sales for the full year increased 7.6%. This was our fourth consecutive year of at least 7% sales growth, which has been driven by a combination of net price realization, core brand volume, growth in U.S. and international markets and innovation. In the fourth quarter, net sales increased 11.7%, slightly better than our expectations, driven primarily by volume. And this is translated into solid gross margin, EBIT margin and EPS growth. In 2013, adjusted EPS diluted growth was 14.8%, our fifth consecutive year of double-digit percentage increases. The category is performing well and our business model is working. However, we're not content. Using history as a guide, we recognized that consumer needs and behavior continuously evolve. We've been building on our proprietary IDP platform and look to leverage the vast amounts of available data related to consumer patterns around everyday events and how they tie into shopping, purchasing decisions, consumption, et cetera. This initial work has resulted in accelerated profitable organic sales growth and enabled Hershey to reclaim its CMG category leadership position in the U.S., with a 31.1% share of the market. We're also pleased with the continued progression of our international businesses outside of the U.S. and Canada. For the full year, our international net sales increased about 16%, including the impact of foreign currency exchange rates, and we're on track to achieve close to $1 billion of net sales in these markets by the end of 2014. And I'm excited about our recently announced agreement with Shanghai Golden monkey. The strength of Shanghai Golden Monkey's confectionery portfolio, manufacturing expertise and overall distribution capabilities, especially within the traditional trade, is an opportunity for us to leverage scale to make the iconic brands of both our companies even more powerful. We believe the investments we're making across our businesses position us for future growth. Furthermore, the dynamics of the confectionery category, impulsivity conversion rate at checkouts, seasons, multiple pack types and so on, are an advantage for all category participants. As has been the case for the last few years, we continue to expect solid brand building investments in the form of innovation and advertising by many category participants. As a result, in 2014, we anticipate candy and mint category growth to be in the 3.5% to 4.5% range. Although note that you'll see some lumpiness in category and Hershey performance in the March and April timeframes, given the timing impact of Easter this year versus the previous year. Now for an overview of the U.S. candy, mint and gum category. For the full year in the xAOC+C-store channel, and as a reminder, this data consists of the food, drug, MassX and C-store channels plus the inclusion of Walmart, partial dollar, club and military channels; growth was solid in the chocolate, non-chocolate and mint categories, which increased the combined plus 3.9%, well within the 3% to 4% historical growth rate. The increase in candy and mint outpaced other snack alternatives such as salty snacks, snack nuts, cookies and crackers. As has been the case for the last few years, the gum category has been challenged and weighed on overall CMG that's candy, mint and gum, results. Therefore, including the full year decline of 5.6% for the gum category, CMG growth was 2.5%. CMG fourth quarter category growth in the xAOC+C channels was up 2.5%. As I mentioned earlier, gum continues to be a drag. And excluding it, the chocolate, non-chocolate and mint categories increased a combined 3.5%. Before I get into our segment, marketplace discussion, let me summarize our successful Q4 seasonal performance. For the combined Halloween and holiday seasons, Hershey retail takeaway was up 4.2%. Importantly, our seasonal sell-through was on target, and we gained 0.6 share points in Halloween and 1.4 points in the holiday season. This was our third and fourth consecutive years of Halloween and holiday market share growth. Our key categories did well and Hershey outperformed. Specifically, Hershey CMG retail takeaway for the 12 weeks ending December 28, 2013, in the xAOC+C channels that account for about 90% of our U.S. retail business, was up 5.2%, resulting in a 0.8 point market share gain. For the full year, Hershey U.S. retail takeaway and market share was up 6.3% and 1.1 points, respectively. We're proud of our U.S. marketplace performance, as we've gained the market share in every channel that we compete for the third consecutive year. Fourth quarter chocolate candy xAOC+C category growth was up plus 4.3%. Hershey Q4 chocolate retail takeaway was 5.3%, resulting in a gain of 0.4 points of chocolate market share. Core brands such as Reese's, Kit Kat and ROLO, as well as Brookside, all gained share. For the full year, our chocolate retail takeaway and market share was up 6.6% and 0.9 points, respectively. Fourth quarter and full year non-chocolate candy xAOC+C category growth was plus 1.2% and 2.6% versus the year ago period. In 2013, our innovation was primarily focused on chocolate. Additionally, throughout the year, we were lacking very successful year-ago non-chocolate candy innovation and in-store programming. As a result, in 2013, we lost 0.2 points of NCC market share. We're making solid investments here in 2014 with some innovative new products that we believe will result in non-chocolate candy gains. More on this later. While not as large as chocolate and NCC, I'd be remiss if I didn't mention the success of our gum and mint business. In 2013, our gum and mint retail takeaway was up 27% and 11%, respectively. As a result, our gum market share increased 1 full point, and we now have a 4% share of the market. Our mint market share increased 1.2 points, and our segment-leading market share is 38.9%. Looking at key channels, I'm very pleased with our business in the traditional FDMx channels, where our performance has been solid. For the 12 and 52 weeks ended December 28, our CMG retail takeaway was up 3.4% and 4.4%. We gained 0.8 share points here for the full year, driven by the food and drug classes of trade. In the C-store channel, CMG fourth quarter and full year category growth in both periods was up 3.3%, and impacted by a mid-single-digit percentage decline in the gum category. Excluding gum for the fourth quarter and full year, C-store combined candy and mint retail growth was 5.8% and 5.9%. Total Hershey's C-store performance was solid with Q4 and 2013 retail takeaway, up 5.5% and 7.5%, resulting in market share gains of 0.7 points and 1.3 points. As we look to 2014, we have many exciting products, promotions, programs and merchandising in place across all channels, including our annual Reese's NCAA basketball and football programs, in-store merchandising and programming of Hershey's Smores and the launch of many new products, such as Hershey's Spreads in the 13-ounce jar, as well as an on-the-go pack type with graham crackers sticks, Lancaster Soft Crèmes Caramels, York Minis, the continued rollout of 3-ounce Brookside instant consumable pack type, the Q4 launch of Brookside crunchy clusters, Jolly Rancher and Twizzlers Bites in standup, take-home pouches and our innovative instant consumable flex pack that fits in a cup holder, and a yet to be announced new product that we're very excited about. We're proud of the gains that we've made in the U.S., so now I'll provide some color on the solid progress we've made in other markets starting with Canada. Looking north, our business in Canada had a good year on all metrics. Net sales increased 5% versus the prior year, resulting in solid gross margin and operating income improvement. A portion of these gains were in advertising and consumer promotion that drove mid-single-digit growth in retail takeaway. Our combined candy and mint market share was up 0.3 points for the year, enabling us to become the market leader in Canada with a 16.6% share of the market. Growth was fueled by Hershey's, Brookside and Ice Breakers. As expected, outside the U.S. and Canada, net sales accelerated in the fourth quarter, up 27%, slightly greater than our expectations. For the full year, international sales of $807 million increased 16%, including the impact of foreign currency exchange rates. In China, Brazil and Mexico, we made solid progress in 2013, with net sales up a combined 25% in these markets. In our key markets, our brands are gaining distribution, trial, and more importantly, repeat purchases. On-shelf velocity of Kisses and Hershey's-branded products is increasing and will build on our momentum in 2014. Additionally, we'll look to accelerate the testing and launch of our other global brands, Reese's, Ice Breakers and Jolly Ranchers in key markets. Therefore, in 2014, based on current exchange rates, we expect net sales outside the U.S. and Canada to increase towards the top end of our 15% to 20% target, which would put us close to our $1 billion goal. By country, our business in China had a solid quarter and ended the year strong. Chocolate category growth in Q4 was up low double digits, and for the year, increased about 14%. In 2013, Hershey was the fastest-growing chocolate company in China, as consumers responded to Hershey's advertising and innovation such as Hershey's Drops and Kisses Deluxe. As a result, China was our best-performing international market, with full year retail takeaway up about 45%. Importantly, in November, we crossed a major milestone and reached the 10.2% share of the China chocolate market. Our momentum gives us confidence that the investments we've made and will continue to make in consumer insight and route to market will benefit our business in the near and the long term. In Mexico, our chocolate business, driven primarily by the Hershey's, Hershey's Bites and Kisses, had a solid year. In 2013, our modern trade chocolate retail takeaway was about double the category growth rate, resulting in a market share gain of 2 points. Our overall chocolate market share in the modern trade is about 21%, and we expect to build on our momentum in 2014 with an expansion of the Reese's test market that's been underway for the last 6 months, primarily in the C-store channel. Our Mexico NCC business lost 0.2 points this year. However, it sequentially improved versus last quarter, driven by the launch of Jolly-Rancher-filled lollipops and take-home pack types of Pelon and Peloneta items. In Brazil, our chocolate business grew about double the category. Market share was up 0.2 points, driven by Hershey's Bars and Hershey's Mice, which has quickly established an 8 share of the subsegment of chocolate-covered wafer products. Reese's was introduced to the major customer earlier this year and has gained traction, becoming a top 5 SKU at this retailer. In 2014, we'll continue with the Reese's expansion and the testing of other global brands. Now to wrap up. I'm pleased with the way the confectionery category and Hershey continue to perform. We have a solid position in the marketplace and we're responding to retail customers needs to drive overall category growth. We have consumer-driven plans in 2014 and expect to drive top line volume growth by a combination of core brand growth and innovation. Dave Tacka will provide further details, but expected gross margin gains in 2014 should give us the financial flexibility to make SM&A investments, including advertising and related consumer marketing, which we estimate will increase mid-to-high single digits on a percentage basis versus last year. As a result, we expect full year 2014 net sales and adjusted earnings per share diluted growth to be within the company's long-term 5% to 7% and 9% to 11% objectives. I'll now turn it over to Dave, who will provide some additional detail on our financial results.
David W. Tacka: Thank you, J.P., and good morning, everyone. Hershey posted another quarter of solid results with consolidated net sales of $1.96 billion, up 11.7% versus last year, generating adjusted earnings per share diluted of $0.86 per share, up 16.2% versus last year. The sales increase was slightly greater than our expectations due to a solid U.S. holiday season and stronger-than-anticipated international growth. Nonetheless, the profile of organic net sales growth was relatively on target with North America contributing about 2/3 or 8.7 points of the growth, and international about 1/3 or 3.5 points. The impact from foreign currency exchange rates was 0.5 points unfavorable. The Brookside business continued to do well, contributing 1.2 points to overall Q4 net sales growth. For the full year, Brookside net sales increased 74%, in line with our target. In 2014, we would expect Brookside net sales growth to increase greater than the company's long-term target, although not at the level achieved in 2013. Turning to margins. In the fourth quarter, adjusted gross margin increased 80 basis points. This improvement was lower than our estimate, primarily because greater-than-expected Q4 volume required purchases of certain raw materials at higher prices, and year-end LIFO and related inventory calculations resulted in slightly higher costs than our forecasts. For the full year, adjusted gross margin expanded 220 basis points, a truly excellent performance. Input cost deflation of approximately $122 million provided about 160 basis points of the improvement. The remaining 60 basis points resulted from supply chain productivity, sales mix improvements and fixed cost absorption driven by the strong sales volume gains. In 2014, we expect a gross margin improvement around 80 or -- I'm sorry, around 50 basis points, driven by supply chain productivity, sales mix and fixed cost absorption. Despite volatility in the commodity markets, we have good visibility into our 2014 input costs, with the exception of dairy, as there is not a developed future market. We do not expect commodity cost deflation in 2014. Adjusted EBIT in the quarter increased 15.3% versus last year, generating adjusted EBIT margin of 16.3%, a 50 basis point improvement. The increase was driven by the adjusted gross margin improvement. Adjusted SM&A expenses increased 12.8% versus last year, driven by increased advertising and SG&A spending. Advertising expense in the fourth quarter and full year increased 20% and 21%, respectively, versus the year ago periods. We continue to believe that on-air and digital advertising activities are a key factor contributing to our U.S. sales growth and our momentum in key international markets. We believe that we are now approaching continuity of advertising support levels in North America. In 2014, we expect advertising and related consumer marketing to increase mid-to-high single digits on a percentage basis versus the prior year. In the fourth quarter, adjusted SG&A, excluding advertising, increased 10.1% versus last year, in line with our estimate. This increase reflects continued investments in knowledge-based consumer insights, nonadvertising brand building and route-to-market capabilities in both the U.S. and international markets, which will benefit the company in the near and long term. In 2014, we will continue to invest in our knowledge and capabilities. However, given our strong sales growth, we expect that we'll begin to see some leverage on this line item. Now let me provide a brief update on our international business. As expected, net sales outside the U.S. and Canada accelerated in the fourth quarter, increasing by 27.1%, driven by gains in China, Brazil and our export businesses. International net sales trends sequentially improved every quarter throughout the year, and we expect to carry our momentum into 2014. Total international gross margin improved 200 basis points for the year, although operating income declined versus last year given our investments in route to market, brand building initiatives and full year ownership of our India business. We remain committed to these markets and will continue to make the necessary investments to build brand equity, drive trial and repeat purchases. As J.P. stated, we expect solid international sales growth in 2014, which will put us close to our goal of $1 billion in net sales outside the U.S. and Canada. This estimate excludes the Shanghai Golden Monkey business, which we are hopeful will close by the end of the second quarter. Moving down to P&L. Fourth quarter interest expense of $21.9 million declined $0.8 million versus $22.7 million last year. For the full year, interest expense was $88.4 million, slightly less than our estimate. In 2014, we expect interest expense to be in the $80 million to $85 million range. The adjusted tax rate for the fourth quarter was 34.2%, greater than the year ago period, resulting in a full year tax rate of 34.3%, which was relatively in line with our estimate. In 2014, we expect the adjusted tax rate again to be about 34.5%. But note that in the first quarter, we expect the tax rate to be closer to 35%. For the fourth quarter of 2013, weighted average shares outstanding on a diluted basis were approximately 227 million shares, leading to adjusted earnings per share diluted of $0.86, an increase of 16.2% versus year ago. Our full year results were very strong. Full year net sales increased 7.6%. Adjusted EBIT increased 11.8%, resulting in adjusted EBIT margin of 19.2%, up 70 basis points versus last year. Advertising increased 21% for the year, relatively in line with our estimate. Gross margin was 46% versus 43.8% last year, a 220 basis point gain. And adjusted earnings per share diluted increased 14.8% to $3.72. Turning now to the balance sheet and cash flow. Year-end net trading capital increased by $23 million. Accounts receivable was higher by $17 million as a result of increased sales and remains extremely current. Inventory was higher by $26 million, primarily in finished goods, and accounts payable increased by $20 million. In terms of other specific cash flow items, total capital additions, including software, were $123 million in the fourth quarter and $351 million for the full year. This spending is about $30 million higher than our previous estimate, primarily because of acceleration of spending on certain projects. Construction has begun on the manufacturing facility we're building in Johor, Malaysia, and timing is on track. In 2014, we expect total capital expenditures to be about $355 million to $375 million, including capital related to the Johor project of $120 million to $130 million. The total capital project is about a $240 million investment. Depreciation and amortization was $50 million in the fourth quarter and $201 million for the full year of 2013, in line with our estimates. Dividends paid during the quarter were $106 million and $394 million for the full year. Cash on hand at the end of the fourth quarter was $1.1 billion. We did not acquire any stock in the fourth quarter. Let me close by providing some context on our 2014 outlook. As J.P. outlined, we have initiatives in place that we believe will continue to drive net sales growth across our business. We're confident in our plans, and we expect 2014 net sales growth of about 5% to 7%, including the impact of foreign currency exchange rates. We expect our net sales gains to be driven by core brand volume growth and innovation in the U.S. and international markets, complemented by in-store merchandising, programming and advertising. We expect first quarter net sales growth rates to be tempered for -- versus the strong distribution gains of Brookside in the first quarter of last year. We also expect foreign currency headwinds given recent volatility, particularly for Canada and Brazil. We have good visibility into our full year cost structure with the exception of dairy costs. We expect our gross margin to improve around 50 basis points, driven by productivity and the final project, Next Century, cost savings. We also expect a favorable sales mix. We do not expect input cost deflation in 2014. Advertising and related-consumer marketing is expected to increase mid-to-high single digits on a percentage basis versus last year. SG&A expenses, excluding advertising, are expected to increase at a more modest level in 2014, as we build on the investments and go-to-market capabilities established over the last few years, as well as consumer knowledge-based projects related to our insights-driven performance work. In the first quarter, we expect SG&A cost increases of low double digits versus last year, reflecting the new hires and initiatives brought on in the second half of 2013. We expect full year adjusted earnings per share diluted to increase within our long-term growth rate of 9% to 11%. Note that this outlook excludes operating results related to Shanghai Golden Monkey. Excluding acquisition and transaction costs, we expect the acquisition to be slightly accretive on an adjusted basis in 2014. I'll now turn it back to Mark to go to Q&A.
Mark K. Pogharian: Okay. Before we go to Q&A, J.P, Dave and I will answer your business questions. Note that Bert Alfonso, President International, is also with us, and will answer any questions you may have related to Shanghai Golden Monkey. Given that we are in regulatory review, commentary here will be limited. [Operator Instructions] Operator, can you please set up the first question, please?
Operator: Our first question comes from Ken Goldman of JPMorgan.
Kenneth Goldman - JP Morgan Chase & Co, Research Division: Dave, can you talk about what you're seeing in the cocoa market? The near-term contract's been spiking again. When you and I last spoke, you weren't overly concerned by fundamentals. I was just hoping for an update of your thoughts.
David W. Tacka: Well, I guess -- I'm not going to comment on our views and coverage with respect to specific markets beyond what I've said about that we have good visibility into our cost structure except for dairy. And so I'm not going to comment beyond that.
Kenneth Goldman - JP Morgan Chase & Co, Research Division: But can you maybe add some comment on what you're seeing on the fundamentals, right? Do you think there's enough supply out there, given demand?
David W. Tacka: Well, the cocoa market has been volatile and -- but arrivals at the port -- we're a little past mid-way in the harvest. And arrivals at this point at the port have been very, very strong. And so the estimates of supply and demand have been growing more balanced as that's arrived. So I think that's the things that you're seeing that the analysts are doing. We have -- we're very confident that we will have solid supplies, and that there's enough supply to meet manufacturing needs.
Operator: Our next question comes from Kenneth Zaslow of BMO Capital Markets.
Kenneth B. Zaslow - BMO Capital Markets U.S.: I just want to ask you, what do you -- your decision to launch a new brand? Well, a lot of companies trying new -- launching of new brands, they don't tend to I mean, successful there is lot of costs associated. If anybody can do it, let me tell you, it’s definitely Hershey. But I guess, my question is what weighed into the decision of trying to launch a new brand in the U.S.? What are the costs associated with it? And how do you measure the success?
John P. Bilbrey: Well, I think that -- you probably heard us talk a lot about it. We are doing fewer what we call, "fewer, bigger, better," and we believe, we are far more consumer centric than we have been as we look at our demand landscapes and where there's opportunity. So while, obviously, a market, the size in U.S. has different cost implications as some market, it also has the magic elixir of volume as well. So when we look at something like our spreads launch, which is currently underway, what we saw is that this a $3.4 billion category in spreads and so spreads includes peanut butter, marmalades and other kinds of things and then the fastest-growing subsegment of that are really chocolate spreads. So we look for unmet needs, and one of the unmet needs not only in the fast growing category was is -- there was a primarily a breakfast occasion, and as we've believe, we can bring great chocolate credentials to that space, we're also looking at variety and day parts that are different than what was happening. So these can be used on apples, bananas, I mean, it's almost endless strawberry, it can be on traditional bread at breakfast occasions, but it makes for a great tasting and a way to get also healthy snacking throughout the day. So all of those kinds of things go in to that decision and what's great for us is, this is really incremental. It's not cannibalistic to what we do already. So that's an example -- I want to just give you a hard example of how we might look at the demand landscape and then try to understand, if we should participate there or not. This is one that we are quite enthusiastic about. The other example that's worked terrific for us is really Brookside. Brookside is a dark chocolate, it satisfies a need that really wasn't there, it has a package that lends itself to portion control, as well as on the go and hand-to-mouth. So we look at all of those different things. And if you look at our results this year, our innovation has just been terrific over the last -- in fact, really over the last several years. So we talked about wanting 1 point of our growth coming in from innovation, but we've done significantly better than that. So it's really not the frequency of innovation, it's really, the quality of the innovation.
Kenneth B. Zaslow - BMO Capital Markets U.S.: The same logic goes for Lancaster?
John P. Bilbrey: Yes.
Operator: Our next question comes from Jonathan Feeney from Janney.
Jonathan P. Feeney - Janney Montgomery Scott LLC, Research Division: So I wanted to understand, the Chinese market a little bit better. You mentioned that you reached about a 10 share. Maybe if you can give us a sense of like what the structure of that market looks like competitively? How that looks post the closing of Golden monkey? And what are some -- if you have them, your realistic goals for 5 or 10 years for the Hershey Company in China? To the extent, you can provide detail around that, I'd appreciate it.
John P. Bilbrey: Yes. Well, first of all, our business in China today is largely a modern trade business. It's focused across major metropolitan areas, we're in the 130, 150 cities in total, but the way we think about it, is really how can, we execute our business models, so how do we build our brand product portfolio, how do we build consumer awareness around that. So if you think about concentric circles and economic density, we really want to build those out. China is such a vast place that -- really talking about being national, may be the wrong way could think about it, so we're quite patient, what we really want to do is make sure our businesses are solid and that they're funded well and then we can build out our portfolio. And our portfolio with China today is still young, and so we have a lot of opportunity there. And then as you'll probably hear from Bert at some point, the acquisition that we made gives us the ability to have broader reach in Tier 2 and 3 type cities with a portfolio that's broad and is also different than the portfolio we have there today. So those are all things that we look at. And one other exciting thing about China is, you see the convenience channel developing there and it's the consumer being -- it’s the consumable being one of our real core competencies, we see that as a tremendous opportunity as well.
Jonathan P. Feeney - Janney Montgomery Scott LLC, Research Division: And J.P., just a clarification. The modern -- you said a modern trade, can you give us a sense over that candy, mint and gum market in China, what piece would you estimate that the modern trade comprises presently? Like 1/2 of it? 20% of it? A ballpark would be fine.
Humberto P. Alfonso: This is Bert. It's quite different, chocolate versus non-chocolate. And so it's a large portion, we don't have the exact number, I would say more than 50% in the modern trade, very paced Tier 1 city-oriented and estimate to retail level to be at about $1.5 billion. The non-chocolate, which is much less concentrated in the modern trade, would be about $5 billion to $6 billion. And again, it moves further down the chain in terms of, as J.P. already mentioned, it is in Tier 1 cities, but also you find a lot more in Tier 2 and Tier 3.
John P. Bilbrey: The one other thing that I would just add to that is that we believe about 300 to 400 million people participate in the chocolate category today with some frequency, so that also begins to be another dimension of how to think about the size and scale versus the potential.
Operator: Our next question comes from Eric Katzman of Deutsche Bank.
Eric R. Katzman - Deutsche Bank AG, Research Division: I guess, my question has to do with a little bit with the fourth quarter. I think, you said the U.S. business, including the holidays, shipments were up 8% or 9%, or so? But I think, you said your off-take was up 5% or 6%? What accounts for the difference?
John P. Bilbrey: Yes, there's a couple of things, Eric, that we believe is going on there as you look at the data. So we had a very good holiday execution. We felt good about that. But the quad ending 12/28 is missing a full week of data. And one of the things that we see happening is especially, around some of its seasonal events, is a higher percentage of volume that's going into those last couple of weeks. So that's part of it and then if you look at the Wall Street data, while I haven't been through the detail, I think, what you see is that you have, I think, we're about 8% or so with that data, which goes through, I think, the first 2 or 3 weeks of January. So really, shows that it starts to pick up some of that. And then, the other thing that was happening that's in that -- that's in there number is that we have gotten to very low inventories. We had a significant growth rate in the first half. Some of our brands were growing double the rate of the category, especially in the chocolate segment. So if you're look at the chocolate segment in particular, which this continue to remain really strong, we saw some inventory rebuilding throughout the fourth quarter, and so there could be a couple of points as you got into December that came back in terms of inventory rebuild to more normal levels. They're still low, but they're closer to the normal range of what we saw. So I think, those are the 2 biggest components. The thing that was encouraging to me as I looked at that data really was the fact that it looks as though things are coming back nicely, so whether that's an anomaly or not, I don't know, but we continue to feel pretty good about what we think, the category growth rates going to be in '14.
Eric R. Katzman - Deutsche Bank AG, Research Division: Okay. And then if I can, just a quick one for David. Is there any reason, why free cash flow shouldn't be growing basically, in line with earnings this year? I guess, CapEx is up a little bit, but maybe you can get a little working capital improvement towards the year-end?
David W. Tacka: Yes, I mean, I think, what I would say is that if you look at operating cash flow it should be growing in line with earnings and we kind of gave you some outlines around the CapEx and dividends.
Operator: Our next question comes from Robert Moskow of Crédit Suisse.
Robert Moskow - Crédit Suisse AG, Research Division: Follow-up question on fourth quarter. The gross margin was a little below expectations and I guess, the advertising spend was a little below expectations also. And regarding, the gross margin, is -- were you forced to buy materials on the spot markets? And is that why your costs ended up a little higher than you thought? And then also, if this a LIFO kind of issue, does that mean that you have LIFO layers that are -- that you can dip into in 2014, that have maybe lower ingredient cost than what we see in the spot market? I'm really testing my accounting knowledge here, so I'm hoping you bail me out.
David W. Tacka: Well, first of all, you're right. The reason that we -- that the gross margin was lower than what we forecasted in the fourth quarter was that -- we did have some higher commodity costs associated with the higher sales that we had in the fourth quarter and so we wound up picking up some materials at spot prices. And in the year end accounting, there's a number of calculations, including LIFO and things and that, it also includes things like how fixed cost go into inventory and that sort of thing, and those things just came in with a little bit more expense than we had forecast. I think, the important thing on the gross margin is that the full year gross margin improvement of 220 basis points was very strong and it included solid productivity gains and sales mix improvements, which are really the things that will continue to drive our gross margin improvement as we go forward.
Robert Moskow - Crédit Suisse AG, Research Division: Okay. And the advertising?
David W. Tacka: The advertising was basically, it was -- the spending was a little bit lower than we have forecast, but there was nothing significant that we did that caused that.
Operator: Our next question comes from Bryan Spillane of Bank of America.
Bryan D. Spillane - BofA Merrill Lynch, Research Division: Just a question on the international business. And I guess, if we look at it, there was -- profit dollars were up about $150 million for 2013. And I guess in the commentary, you said it about 1/3 of your volume growth for the year came from the international operation. So just -- can you give us some idea about, if we look just the profit dollar contribution, not margins, but just how much of the profit dollar growth came from international, is it more than 1/3 of revenues? Is it less? Just trying to get a sense for how much, now that has becoming such a big slug of revenues, just how it's contributing to the profit growth. And maybe again not even if it's not specific, but just try to give us some sense for as we model 2014, what your expectations are in terms of, how the international revenues will contribute to profit growth?
David W. Tacka: Essentially, what we talked about is that in the international business, we had strong gross margin improvement, and beyond that, we continue to invest in the business. And so I guess, what I would say at this point, is that we continue to be on our targets as we're growing to building the models out in the international business. But we are continuing to invest in the advertising and there's parts in the international business.
Mark K. Pogharian: Yes, Bryan, it's Mark. Just to clarify, the 3.5 points in the fourth quarter contribution from international, they had a very strong second half of the year as we expected, and it will probably be a similar type of profile even in 2014, where international second half is bigger than the first half.
Bryan D. Spillane - BofA Merrill Lynch, Research Division: Okay. I guess, what I was trying to get out is just are we are a point, where you get leverage really on the SG&A spending, where it's not just that it's -- actually, you're making, obviously, having a real good contribution to the revenue growth. But at what point -- where are we, I guess, in terms of that evolution, where the international growth also -- you get the leverage on the operating profit line, which will give you the operating profit growth?
John P. Bilbrey: Yes, I think, Bryan, we're still early in the curve of our evolution there. So what we want to make sure that the SG&A investments that we are making continue to drive top line growth. Even in markets like China, our portfolio is quite limited today. If you look around some of these key markets, that would continue to be true as well. So we're going to follow our business model of brand building because we have good healthy growth -- gross margins. It does give us the chance to moderate that if we chose to do it. But right now, we continue to believe that we're building consumer awareness, we're establishing brands and so I think we're going to continue to be in an investment mode for a while. But obviously we look at SG&A leverage in a number of different ways and we want to be mindful that we grow into any investments that we've made if for some reason we were out over our skis.
Operator: Our next question comes from David Driscoll of Citi.
David Driscoll - Citigroup Inc, Research Division: My question, just I want to focus on the U.S, just a little bit, Brookside. I think, by the numbers you gave, I would calculate that Brookside is now kind of total size of something like $200 million. Where do you think that this can go? And then when you talk about new product contribution of a point, I would assume that because Brookside has such strong momentum going into 2014, new products and I'm hoping, I can count this as one of them, it will be more than a point of contribution in 2014. So all things Brookside.
John P. Bilbrey: Yes. Well, I think, first of all, your estimate around where Brookside is currently at is certainly a good one, and then to just give you a little bit of dimension on the full year. So, when we talk about 5 to 7 on the low side, that innovation would be about a point in the algorithm and then on the topside, obviously, it would be closer to a couple of points. If you look at 2013, most of our volume, I mean, literally all of the volume was volume growth, but the beauty of it was on those core brands, it was up about 3.8, volume on new product was up above 2. And then Brookside was not considered a new product in 2013, and so it also had a significant contribution of about 1.3 points of that growth. So if you take those numbers, you get a little bit above the 7.6% growth rate, but then, you take the FX out and that's how you land back at 7.6%. So we've been very fortunate that these new brands that we've introduced has been quite accretive to the portfolio, and then, we've been able to have quality innovation. And nobody is going to ever have a perfect record on innovation, but we've been very fortunate that we've had quite solid innovation that's helped. And these brands are sticky. They're contributing as they go forward. And then, the potential of Brookside, I don't have any problem in thinking about it as a $500 million brand. I don't have a date on that. And then, none of us know going well forward into the future, but I see, this is a brand that has global relevance and we just have to do a good job and make the most of it, but I think, this is the terrific brand that will establish itself truly as a big brand.
David Driscoll - Citigroup Inc, Research Division: That was really helpful, J.P. If I could just do one follow-up on the U.S. business. I believe, that one of your competitors is going to launch a Super Bowl commercial on Butterfingers and maybe trying to grab a slice of the Reese's pie. Do you see a lot of interaction between those brands? And do have to do something special to defend yourself there?
John P. Bilbrey: Well, we have very solid programming on our Reese's brand. This is a very, very big brand and so we take all of these things seriously. I think, anything that brings people to the category is great. Reese's defines largely the sweet and salty segment. Usually, when you have a variant of a parent brand, it never becomes as large as the parent. And so while, I'm sure that it's a great product and they'll do well, we'll make sure that we're fighting for our space, as you get into March and March Madness and college football with NCAA programs and things, we got terrific programming on Reese's. We will defend it at home and we're looking to grow it globally. So we are up for any fight that come our way.
Operator: Our next question comes from Andrew Lazar of Barclays.
Andrew Lazar - Barclays Capital, Research Division: With the category expected to grow as you said at the outset 3.5% to 4.5% this year, some of it from new products, you're putting out international contribution. Certainly seems like there is obviously, the high level of confidence and visibility in the 5% to 7% sales growth forecast for this year. I guess, partly where you fall in that range or even if you ultimately get above it, but it depends on the ability to also continue to sort of take market share, as you been doing pretty consistently? So I was just wondering can you give us sense that to the combination of the marketing spending and innovation that you've got, give you enough comfort on additional market share gains, even in the light of maybe more category activity?
John P. Bilbrey: Yes, well, I think that category activity would be good for the category in total. It’s an expandable consumption category, so I think, we welcome those things and I'm sure retailers do as well. And then, we continue to feel really good about the execution, we have against our brand. So our goals are obviously to continue to execute well. And I think, we've got a pattern and a model that has demonstrated our ability to grow share and so I think, a healthy category is really fundamental to that. But I think, what you'll see is quality, rational behavior in the category and that's good for everybody.
Andrew Lazar - Barclays Capital, Research Division: Then on the new product you talked about, when is that expected to hit the shelves this year? And can you even comment on whether it's sort of in the core confectionery sort of wheelhouse? Or is it something more on the fringe like a spreads-type thing, I thought, I'd give it a try?
John P. Bilbrey: Yes, well, we'll probably not -- we're probably not going to talk about that quite yet but because we want do a really good job with the release and announcement of that. So obviously, you get a chance to see that it's later in the year. But the things that we're currently doing, we continue to feel really good about getting off to a great start and advertising on spreads is starting -- I think, it's about February, when we begin to see some other incremental advertising on some of the other things we're doing. It's a consumable spreads product start to shipping in November, but it's really building, its presence now and on the front end and so on. But we've got plenty of things to keep us busy and we'll make sure that when we get ready with our new item later in the year that you won't miss it. I'm certain of that.
Operator: Our next question comes from David Palmer of RBC.
David Palmer - RBC Capital Markets, LLC, Research Division: A question on advertising. Hershey has, obviously, over the many years, you have been getting more consumer focused and centric in your approach. You have been going from the low-end of peers to the high-end on ad spending. While you're continuing to ramp that, at least as high as sales, perhaps the massive increase is over and with that in mind, are you seeing less obvious ROI on incremental ad spending in certain areas, perhaps in the U.S. market, perhaps with the new age media that's -- and the less live TV watching so to speak that's going on out there, are you finding efficiencies in certain areas, while expecting to ramp up and others? Just any sort of color about ad spending because one question that will come up is with less advertising ramp, does that mean less core growth? And what would you say to that concern?
John P. Bilbrey: Yes, we look at ROI on our advertising very carefully. We, of course, the mix moves around, so it's not always on the same things. But when you get a brand towards sort of the top of the curve and it’s at a sustaining level, it doesn't mean, you get to a sustaining levels on things begin to decline. So you look at those things all the time, so we're very rigorous with our models on how we advertise -- or how we analyze ROI. So I feel very comfortable with that. I think an important thing that you mentioned is how does media evolve and are we participating in ways where we think, we have our most effective media. So one of the things that we do is, where we believe we aren't getting the ROI that would like to get, we look at, how do we use alternative media types, how do you add digital to that, we're continuously learning on our brands on a big brand like Reese's, 10% of its budget is in digital. And we continue to learn there. I wouldn't tell you that many people and I wouldn't claim that we've mastered all of the evolution of digital, but we look at the ROIs on that as fast as we can. We feel that we're doing the right thing there as well, so I think that with -- you can't make assumptions that just because you get to the sustaining levels means all of a sudden that mean the brands going to decline, but it also means that you can look at that and plus and minus, how you're doing. It's all driven by a combination of ROI and marketplace need.
Operator: Our next question comes from Jason English of Goldman Sachs.
Jason English - Goldman Sachs Group Inc., Research Division: A couple of quick questions. First, J.P., you gave us an outlook for the category next year. I think it was 3.5%, 4%, 4.5% type growth. As we think about this category growth, are you expecting pricing to be a component of it? Or is that all volume-driven?
John P. Bilbrey: Well, we don't -- when we gave our guidance, we don't include anything that would be M&A or pricing-oriented, it includes what we believe FX impact will be, so that's not in those numbers.
Jason English - Goldman Sachs Group Inc., Research Division: I'm not referring to your guidance, I'm referring to your outlook for the category.
John P. Bilbrey: Yes, in the outlook for the category would not have pricing as a component.
Jason English - Goldman Sachs Group Inc., Research Division: Okay, that's helpful. And now, I'm going to turn to international. With it becoming such an important piece of the story here, particularly from a growth perspective, I was hoping you can give us a little bit more detail on it? And specifically, can you give us a sense of this 16% growth? This 25% in China, Brazil and Mexico, and 45% in China. How much of that is distribution related versus just the core? And also, can you give us a sense of the magnitude or scale of these 3 markets relative to the $807 million figure you gave overall?
John P. Bilbrey: Yes, I'll tell you what was -- let's take advantage of Bert being here and he can chat about that, and I'll fill in, if it is appropriate.
Humberto P. Alfonso: Yes, I would tell you that if you look at Mexico and Brazil with respect to distribution versus new and versus just core growth, non-distribution, it's largely all volume and not a lot on the distribution piece. China is quite different, where we're still expanding into more cities and so of the China growth, about 1/3 of that would be additional distribution, with the rest being velocity increases driven by advertising and some new brand activity, J.P. already mentioned. We launched Hershey's Drops, we launched a test market for Reese's as well as for IP mints [ph] and towards the end of the year, Kisses Deluxe.
Jason English - Goldman Sachs Group Inc., Research Division: Any color on the size of the market?
Humberto P. Alfonso: Yes, we are not a segment reporter, although I am sure, we'll get there in due course, but the only thing that we would continue to say is that we're shooting very close to that $1 billion mark, which we've been targeting for 2014. Among those, I would say that China and Mexico are the bigger countries with Mexico still being our biggest outside of the U.S. and Canada, although, that probable change as we get into that. And we'll give you a lot more color when we get to CAGNY, I think, with respect to the different countries. And while Brazil grew very quickly last year, despite the FX impact, it's the smaller of the three.
Operator: Our next question comes from Matthew Grainger of Morgan Stanley.
Matthew C. Grainger - Morgan Stanley, Research Division: Just a follow-up on international. You talked about accelerating growth in your key emerging markets through the year and sustaining some of that momentum into 2014, which obviously, runs a little bit counter to what we are hearing from other consumer companies or specific categories. Does your outlook for close to 20% sales growth, reflect the view that the categories aren't showing any -- that your categories aren't showing any evidence of slowing? Or does it reflect an expectation maybe of even more robust or accelerated share growth over the next year?
John P. Bilbrey: Yes I think, what you're hearing about emerging markets could be different based on the categories across different CPG companies and what their maturity and development is, so our category and this is one of the things that I think, makes it an advantaged category at this point in time in history. Is the category still relatively modest in a number of these markets? Consumers are participating in the category with greater frequency and we continue to expand portfolio offerings as we go. So again, I think, they're very constructive markets in that's, it's not a battle for market share in a stagnant or challenge environment. It's really about building brands, it's building the category, it's being rational and consumers come to the category. So I think that's why, when you hear, the players in the category talk about it, you'll probably here some things that may seem to be a bit disconnected from the total and I'm not to say that we're immune from all things, but I just think, the category dynamics are quite different than a number of other categories and that's really why you hear some of these different commentaries.
Humberto P. Alfonso: And I think, the other thing, when we talk about the 15% to 20%, that does include FX. I mean, we continue to see very good growth in local currencies.
Matthew C. Grainger - Morgan Stanley, Research Division: Okay. Apologies, if I missed it, but can you give us a sense of what you are expecting in terms of FX headwind to sales for next year?
David W. Tacka: We didn't say that but at current exchange rates that would be 0.5 point, but it will be heavier in the first half for the year and a little bit less in the second half.
Matthew C. Grainger - Morgan Stanley, Research Division: Okay. So close to 5% impact on international then?
John P. Bilbrey: 0.5% on consolidated.
Matthew C. Grainger - Morgan Stanley, Research Division: Consolidated company.
John P. Bilbrey: Total.
Mark K. Pogharian: Operator, we have time for one more question.
Operator: Our next question comes from Alexia Howard of Sanford C. Bernstein.
Alexia Howard - Sanford C. Bernstein & Co., LLC., Research Division: While we've got both on the line, can I ask one more question related to the Shanghai Golden Monkey acquisition? Specifically, how it affects the margins trajectory in China? I think, before the acquisition was announced, it was going to be a few years before breakeven was achieved in the country. Presumably the acquisition puts you on a different trajectory here, maybe you could comment on that?
David W. Tacka: Yes, I think you got it right. We are obviously in a much more of an investment mode in the chocolate side of the business, which is our current business. And we already mentioned Shanghai Golden Monkey would be slightly accretive, if you exclude any of the onetime charges for integration post approve and post-closing. So it will help that along at a little bit quicker pace than we would have had without the acquisition.
Mark K. Pogharian: Okay. Thank you very much for participating in today's conference call. Investor Relations group will be available all day for any follow-up calls you may have, and we'll see you all at CAGNY.
Operator: This concludes today's conference call. You may now disconnect.